Operator: Thank you for standing by, and welcome to Schrödinger Conference Call for the Fourth Quarter and Full Year 2020 Financial Results. My name is Sara, and I’ll be your conference operator today. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded at the company’s request. Now, I’d like to introduce your host for today’s conference, Ms. Jaren Madden, Senior Vice President of Investor Relations and Communications. Please go ahead.
Jaren Madden: Thank you and good morning, everyone. Welcome to today’s call during which we will provide an update on the company and review our fourth quarter and full year 2020 financial results. Earlier this morning, we issued a press release summarizing our financial results and progress across the company, which is available on our Web site at www.schrodinger.com. Here with me on our call today is Ramy Farid, President and Chief Executive Officer; Karen Akinsanya, Executive Vice President, Chief Biomedical Scientist and Head of Discovery R&D; and Joel Lebowitz, Executive Vice President and Chief Financial Officer. Following our remarks, we’ll open up the call for Q&A. I’d like to remind you that during today’s call, management will make statements related to our business that are forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, including without limitation, statements related to our future financial performance, including our outlook for the full year 2021, the potential advantages of our platform, our strategic plans to accelerate the growth of our software business, and advance our collaborative and internal drug discovery programs, risks related to the COVID-19 pandemic, our expectations related to the use of our cash, cash equivalents and marketable securities, as well as our future operating expenses. These forward-looking statements reflect our current views about our plans, intentions, expectations, strategies, and prospects, which are based on the information currently available to us, and on assumptions we have made. Actual results may differ materially from those described in the forward-looking statements and are subject to a variety of assumptions, uncertainties, risks, and factors that are beyond our control, including the demand for our software solutions, our ability to develop our computational platform, our reliance upon drug discovery collaborators and other risks detailed under the caption, Risk Factors and Elsewhere in our most recent Securities and Exchange Commission filings and reports. Except as required by law, we undertake no duty or obligation to update any forward-looking statements discussed on this call, as a result of new information, future events, changes in expectations or otherwise. These forward-looking statements should not be relied upon as representing our views as of any date subsequent to today. During this call, we will also discuss certain financial and operating metrics, which are further described in our financial results press release and SEC filings. With that, I'd like to turn the call over to Ramy.
Ramy Farid: Thanks, Jaren, and thank you everyone for joining us this morning. At Schrödinger, we have developed a world class computational platform that is accelerating drug discovery and materials design by predicting key molecular properties with very high accuracy. We license our software to biopharma and industrial companies worldwide, and we are also leveraging our platform to advance a pipeline of collaborative and internal drug discovery programs with the aim of bringing new medicines to patients.  We are extremely pleased with our execution across our business in 2020. Total Revenue was 108.1 million, a 26% increase over the prior year. As you'll hear from Karen shortly, we also made excellent progress on our discovery pipeline, and expect to initiate IND-enabling studies later this year for multiple programs. We also achieved important milestones in several of our collaborative programs, with three moving into the clinic in 2020. Additionally, we entered into a strategic collaboration with Bristol Myers Squibb to discover, develop and commercialize therapeutics in multiple disease areas. The agreement provided 55 million to Schrödinger upfront, and we are eligible to receive up to 2.7 billion in preclinical development, regulatory and commercial milestones in addition to royalties on net sales of each product commercialized by Bristol Myers Squibb. We are very pleased to be working with BMS, a proven leader in the areas of oncology and immunology.  Turning to our software business, we saw very strong revenue growth in 2020. Software revenue was 92.5 million, a 39% increase over 2019, and we expect continued growth this year. We continue to receive excellent feedback from customers on the impact our platform is having on their discovery programs from both biopharma and materials companies. We are also continuing to advance the science underlying our platform.  We extended FEP+ to more accurately model binding affinities of metalloprotein inhibitors, an important class of inhibitors, better support macrocycle design and optimization, and more accurately predict binding selectivity, which is a major way of reducing potential toxicity of drug molecules.  We also released a new active learning workflow for structure-based hit discovery, which can screen massive libraries of compounds with greatly improved computational efficiency. We plan to continue to invest heavily in the underlying science of our platform, with a focus on increasing accuracy of the predictions and expanding the domain of applicability to a wider range of targets.  As you'll hear shortly from Joel, we ended 2020 in a strong financial position with cash resources of 643 million. In addition to the continued investment in our computational platform, we are investing in our internal discovery programs to key value inflection points. We are adding new talent to support our R&D initiatives. And we recently hired our first head of early development.  Our large number of drug discovery collaborations will continue to play a strategically important role for us as well. We believe having a mix of partnered and wholly owned programs provides us with the flexibility to create long-term value for our shareholders. We're excited by the many advances we've made, and we expect continued progress across all aspects of our business; our internal pipeline, our collaborative and partner programs, and our software business to support both drug discovery and materials design. We continue to navigate the challenges of COVID-19 and working remotely, and we're extremely appreciative of the dedication and resilience of our employees at Schrödinger. I'll now turn the call over to Karen for an update on our drug discovery programs.
Karen Akinsanya: Thank you, Ramy, and good morning, everyone. In 2020, we continue to make important advances on many fronts across our internal pipeline and portfolio of collaborative programs. Throughout 2020, we reported a significant increase in the number of collaborative programs in lead optimization. By the end of 2020, several of these programs had entered preclinical development or Phase 1. We expect additional collaborative programs currently at the lead optimization stage to advance during 2021. We have made significant progress in our internal oncology programs targeting solid tumors and hematological malignancies. As Ramy mentioned, last year we entered into a strategic collaboration with Bristol Myers Squibb for the discovery of small molecule compounds directed to five biological targets in oncology, neurology and immunology. We are pleased that two of our internal programs, HIF-2 alpha and SOS1/KRAS, are part of this collaboration.  I'll focus the rest of my remarks on our three wholly owned programs; MALT 1, CDC7 and WEE1. Based on the strong data we've generated to date, we plan to move forward with IND-enabling studies for these programs. Subject to completion of the preclinical data packages, we expect to submit up to three IND applications in 2022 with the first submissions expected in the first half of next year. Starting with MALT 1, we have made significant progress in the last year. MALT 1 is a protein that is downstream of BTK in the NF KappaB signaling pathway. Constant activation of NF KappaB is a hallmark of several subtypes of lymphoma. We believe that inhibiting MALT 1could be an effective therapeutic strategy to treat certain relapsed or resistant B-cell lymphomas or chronic lymphocytic leukemia.  In December, we presented preclinical data from this program at the American Society for Hematology annual meeting. Our compound showed potent in vitro inhibition of MALT 1 enzymatic activity. We also reported in vivo anti-tumor activity in mouse xenograft models of diffuse large B-cell lymphoma, a very difficult to treat blood cancer. Additionally, in in vivo models, our MALT 1 inhibitors demonstrated dose dependent anti-proliferative effects in combination with ibrutinib and venetoclax, which are approved BTK and BCL-2 inhibitors, respectively.  Now I'll turn to CDC7 and WEE1, two programs that target cancer through replication stress and DNA damage repair mechanisms. CDC7 is a protein kinase that has been shown to be required in DNA replication initiation. CDC7 is thought to be linked to cancer cells proliferative capacity and ability to bypass normal DNA damage responses. Targeting proteins that play important roles in DNA replication and replication stress is gaining momentum as a new therapeutic approach for cancer.  With our program, we believe we have an opportunity to develop a best in class inhibitor by improving on key properties, including binding affinity, selectivity and the pharmacokinetic profile. We expect to report preclinical data from our CDC7 program in the first half of this year.  WEE1 is a tyrosine kinase regulator of the G2/M cell cycle checkpoint and is a well validated biological target. The therapeutic objective of targeting WEE1 is to reduce cell viability by inducing G2/M phase arrest and apoptosis of cancer cells. Others have shown clinically meaningful tumor regression in uterine serous carcinoma, ovarian and small cell carcinoma through WEE1 inhibition. However, existing inhibitors have profiles that may make dosing and combination therapy more challenging.  We have identified tight binding, highly selective molecules with optimized drug-like properties, including no observable inactivation of CYP3A4, a key liver enzyme. As these programs advance and transition into development, we expect to initiate new programs. We have prioritized several new program opportunities with human genetic support and emerging pharmacology data in oncology and immunology. We expect to launch these programs later this year.  In summary, our diverse portfolio of collaborative and internal programs is rapidly advancing towards the clinic. Activities to support expansion of our pipeline into additional disease areas are well underway. It has been extremely gratifying to realize the power of our computational platform as we advance our own pipeline. I look forward to updating you on our R&D activities throughout the year.  I will now turn the call over to Joel to review our financial results.
Joel Lebowitz: Thank you, Karen, and hello, everyone. This morning, I'm pleased to discuss our 2020 financial results, and I'll also provide our outlook for 2021. I'll start with a review of the fourth quarter. Total revenue was 33 million, up 28% compared to the fourth quarter of 2019. Software revenue was 25 million, representing 42% growth compared to the fourth quarter of 2019.  As was the case throughout the year, the growth in software revenue was primarily driven by increased adoption of our solutions by large customers, as well as the addition of new customers during the quarter. Drug discovery revenue was 8.1 million compared to 8.3 million in the fourth quarter of 2019.  Revenue this quarter included 1 million from our collaboration with Bristol Myers Squibb announced in November. The agreement included a $55 million upfront cash payment, 54 million of which is reflected in deferred revenue and is expected to be recognized over the next three to four years as we progress the BMS programs to development candidates.  Operating expense was 35.6 million compared to 23.4 million in the fourth quarter of 2019, reflecting our investment in R&D to advance the science underlying our platform and to progress our internal drug discovery programs, as well as costs required to support a public company infrastructure. We recorded a net loss after adjusting for non-controlling interests of 11.1 million compared to a loss of 6.8 million in the fourth quarter of 2019.  For the full year, total revenue was 108.1 million, a 26% increase over 2019. Software revenue was 92.5 million, up 39% versus 2019 with strong growth in both life sciences and material science. Discovery revenue was 15.6 million compared to 18.8 million in 2019. As we stated before, discovery revenue fluctuates from period to period as it is dependent on the timing of project milestones.  Additionally, discovery revenue is impacted by the timing and revenue recognition of certain transactions, such as the BMS agreement. As I mentioned earlier, 54 million related to the upfront payment from BMS in November was reflected in deferred revenue at year end. As a result, total deferred revenue was 86.6 million versus 27.3 million at the end of 2019. Of this total, deferred revenue related to software was 30.2 million, up 22% versus the end of 2019, also contributing to the overall growth.  Full year operating expense was 124.4 million versus 87.8 million in 2019, reflecting our increased investment in R&D and increases in G&A to support our operations as a public company. In 2020, we recorded other income of 34.6 million compared to 12.7 million in 2019, driven primarily by the increased market value of our equity holdings in Morphic and Relay. These results demonstrate the value creation opportunity of our collaboration strategy.  Net loss after adjusting for non-controlling interests was 24.5 million compared to a loss of 24.6 million in 2019. We ended 2020 with cash, equivalents, marketable securities and restricted cash balances of 643.2 million, up from 599.5 million at the end of the third quarter of 2020, primarily due to the 55 million upfront payment from BMS. For the full year, operating activities generated 16.8 million in net cash versus using 26.1 million in net cash in 2019.  In addition to the financial results we just reviewed, I'd like to report on some key software performance indicators for 2020. Total software annual contract value, or ACV, reached 92.1 million in 2020, representing annual growth of 22%, which is an increase from the 18% annual growth rate we saw in 2019.  The number of customers with CV of more than 1 million increased to 16, up from 10 in 2019. Customers with an ACV over 100,000 increased 153 compared to 131 in 2019. This customer cohort represented 79% of our total ACV in 2020, and our retention in this customer segment was 99%.  Finally, the number of total active customers was 1,463 compared to 1,266 in 2019. We are pleased with the performance across our business, and as we look ahead to this year we are focused on executing on our strategy and generating long-term growth.  At this time, I'll provide our revenue expectations for 2021. We expect total annual revenue to be in the range of 124 million to 142 million, which includes software revenue of 102 million to 110 million and discovery revenue of 22 million to 32 million.  With regards to software, we are excited about the momentum we've established and the opportunity for growth ahead. In 2020, we saw a large increase in the number of customers spending over 1 million per year, which helped drive our strong revenue growth.  We continue to work with our customers to demonstrate the benefits of deploying our solutions at an even greater scale, and we believe there is opportunity for ongoing significant growth over time.  Due to the increasing size of the individual contracts and the timeframes associated with larger scale deployments, we anticipate this growth will vary from quarter-to-quarter, and even year-to-year. For 2021 specifically, we expect that software growth will be higher in the second half of the year than in the first half due to some of these same factors.  With respect to drug discovery revenue, there are a few elements that impact our guidance. The first is revenue recognition related to the BMS transaction. As I've mentioned, we received 55 million in the fourth quarter of 2020, of which 54 million was reflected in deferred revenue. We anticipate this revenue will be recognized over the next three to four years as we advance the programs to develop new candidates.  The second element that impacts our guidance is our strategy to progress our lead internal programs into the clinic ourselves. As a result, we do not currently anticipate licensing revenue in 2021 related to these programs. And finally, as we've previously indicated, a portion of discovery revenue is driven by the timing of collaboration programs achieving certain milestones, and can therefore vary from period to period.  Finally, I'd like to comment on how we expect operating expense and software gross margin to trend for the year. We anticipate that operating expense growth will be higher than the 42% annual growth rate we saw in 2020, driven by our commitment to fund R&D to advance our technology and our internal drug discovery pipeline.  We also anticipate that software gross margin will be lower than the 81% reported in 2020, reflecting investment to drive and support large scale adoption by our customers. We are very pleased with the results we've achieved over the past year and we are excited about the opportunities that lie ahead to advance our strategy and drive long-term growth across our business.  I'll now turn the call back over to Ramy. 
Ramy Farid: Thanks, Joel. 2021 has the potential to be another strong year for Schrödinger. We anticipate continued growth in our software business and progress with our collaborative and partner programs. And we are building our internal discovery capabilities to support the addition of new programs in 2021 and IND submissions for our most advanced programs in 2022. We have an exceptional team committed to transforming the way therapeutics and materials are discovered, and we look forward to providing updates on our progress throughout the year.  At this time, we'd be happy to take your questions. Operator?
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Michael Yee with Jefferies. Your line is now open.
Michael Yee: Hi, guys. Thanks for the question. I think I have two, and I think it would be very helpful because I think investors are quite confused and I'm sure you can see where the stock is trading. Number one on 2021 guidance, can you clarify your software guidance 102 to 110? I think it implies like, I don't know, 13%, 14% year-over-year growth. You just came off a whopping 40%. So are you putting some conservatism in there? I know Joel made some comments about second half better than first half. So just help us out with that a little bit. You had a great 2020 and so people I think are more why we dropped to 14%. So talk about that a lot and tell me if there's conservatism in there. And then secondly, can you talk about the drug discovery portion? I think you made some comments about that. And I think some of that lower than consensus revenue is due to amortization of milestones and things of that nature. So if you can talk to those two different lines that would be great.
Ramy Farid: Okay. Joel?
Joel Lebowitz: Sure. Thanks, Mike. So in 2020, we're obviously really happy with the progress that we made and the fact that it's underpinned by larger contracts and the addition of new customers in a really challenging environment. One impact of contracts getting larger and we're talking about contracts that are now multi-million dollars is that there's also the potential for more revenue growth variability from quarter-to-quarter and year-to-year as well. But what we see going forward is that we're really very excited about the continuing opportunity for growth in both sides of our business, both life science and material science. So if you look at what drove the business in 2021 and the increase in annual contract value, or ACV, from an 18% growth rate in 2019 to a 22% growth rate in 2020 is -- it's the same things that we've been talking about all year, continuing increase in large scale adoptions by our customers and the addition of new customers. We know the scale at which we are deploying our solutions, our own internal programs to great impact, and it's still quite a bit larger than even our largest customers. And on the addition of new customer side, we are still we believe in the early phases, for instance, of our growth cycle in our materials business. So we really see significant growth opportunity over the long term in both those areas, and we're investing to capitalize on that. But you will see variability in revenue as our contracts get larger. And that is driven by the timing, the kind of contract that it is, and other factors. So our guidance is -- we're providing guidance to kind of help you understand 2021, but our expectations over the longer term are for continued significant growth.
Ramy Farid: Joel, you want to emphasize also the second part of Mike’s question about the BMS revenue recognition?
Joel Lebowitz: Thank you for reminding me about that. Yes, thank you. So on the drug discovery side in the fourth quarter, as you know, we received $55 million in cash from BMS late in the year. It was in November. So we recognized $1 million from that $55 million in revenue, 54 million of it went into deferred revenue. We will recognize a much larger amount related to that in 2021, as we work on the programs and progress them towards delivering development candidates, and that 54 million will be recognized over the next three to four years as we do that. And so that may explain the gap that you were talking about.
Michael Yee: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Do Kim with BMO Capital Markets. Your line is now open.
Do Kim: Hi. Good morning. Thanks for taking my questions. I wanted to ask about the drug discovery revenue guidance portion of your guidance. And what besides the BMS upfront payment are you expecting to drive that guidance? Are the collaboration programs that you have ongoing? Were there any discontinuations or delays that play a part in that guidance? And did you say that you're not expecting a partnership for an internal program this year?
Ramy Farid: Sure, Do. I can answer that question. So with regard to 2021 discovery guidance, as I mentioned, obviously BMS revenue will be recognized -- continue to be recognized in 2021, obviously, to a higher degree than it was in the fourth quarter of 2020. But we do expect to continue to earn milestone and research funding revenue in 2021 related to our collaborations. I will say that with regard to receiving those, the programs are advancing broadly. Karen has talked about this. I think most recently you saw a great news release from Morphic on MORF-057 that we worked on earlier this week. And in addition to the milestones you need to also consider the increase in equity value that we have been deriving from these collaborations. So last year, we saw significant contribution in terms of other income from our equity stakes at Relay, Morphic, as well as cash distribution from Petra. And so far this year, that has been continuing. So with regard to our internal programs, what I was referring to there is that our three lead programs, as we've talked about; MALT 1, CDC7 and WEE1, we are intending to take into the clinic ourselves and so -- at least towards the clinic and into the clinic, and therefore we're not planning at this point -- we're not guiding to any licensing revenue related to those programs in 2021, as we continue to advance those ourselves. With regard to possible other transactions that may or may not occur this year, we're not guiding to that right now. We're not including that in our guidance.
Do Kim: Okay, got it. And additionally, on the internal programs, you're expecting your first IND filing in the first half of '21. Is that a delay to your prior expectations? And if so, what's driving that?
Ramy Farid: Karen, do you want to address that?
Karen Akinsanya: Yes. Hi, Do. No, that does not represent a delay. And in fact, I think we've in the past explained that our programs actually moved faster than we expected. And in the case of MALT 1, we’re just around the two-year mark. And by the time we initiate GLP-tox, it will be about two years actually since we started the program. So there are no delays at this point. All of our programs, the data packages are looking good and we're pretty confident about the opportunity to initiate that first GLP-tox study in the first half of this year. And as Joel said, also the opportunity for the additional programs over the coming year as well.
Do Kim: And from the sound of your comment, it seems that MALT 1 will be your first IND?
Karen Akinsanya: Yes. Based on all the information we have right now, we did present data at ASH and I think you’ve had an opportunity to see that. As we discussed, the package really does look very supportive. And we are on track as we've discussed to follow that first GLP-tox in the first half of this year, and we're expecting to initiate clinical trials in the first half of next year.
Do Kim: Great. Thanks for taking my questions.
Operator: Thank you. Our next question comes from the line of Michael Ryskin with Bank of America. Your line is now open.
Michael Ryskin: Hi. Thanks for taking the questions, guys. Not to belabor a point, but I want to go back to the software guide a little bit, just to parse it out, given how critical it is for the model. Historically, you've had really good visibility on future of your revenues just given the nature of the license contracts. And the fact that there's a pretty substantial amount of deferred revenue every year, the fact that a lot of the contracts are annual, the renewal rates, all the visibility that that provides you. So just to go back to that 10% to 19% software outlook, you commented on more and more large contracts as the mix shifts. Is there something that's different about visibility in these contracts? Is there something that makes you a bit more cautious about the renewal rate, the pacing of them coming through, any color you can provide on how that affects your forward visibility on the deferred revenue, on the renewals and the conversion there? And then I've got a follow-up question on the drug discovery side?
Ramy Farid: Sure, Mike. I can answer that. Thanks for the question. So really when you think about driving larger and larger contracts, and again we think the opportunity is still very significant. The larger commitments that customers are making, there's a lead time. There's a deployment time. And so they will -- we will enter into these contracts. We anticipate larger and larger levels over time. But the timing of when we convert customers to these larger levels does play a more outsized factor the larger they get. With regard to retention rates, there's no issues there. Obviously, you saw that we have 99% retention in our large customer base, over 100,000 ACV. It's really about pretty significant decisions that our customers have to make, multi-million dollar commitments that they have to make to upsize. And sometimes that takes time. And we work hard to demonstrate to our customers the value that we're seeing on our internal programs in applying our solutions at much greater scale than they're currently applying to their own programs. And that's an ongoing discussion that we have. So there's both sales cycle and deployment time, and that does, in fact, impact the variability in the growth rate. But we are confident that over the long term, the value of deploying our programs at much larger scale is large and significant. And we are working to achieve that over a multi-year period. And, Mike, let me emphasize that it's still -- we still continue to receive really extraordinarily good feedback on the software and the impact it's having, and that's increasing. So that's a really, really important thing that we continue to see. So still lots of optimism about being able to convince customers to scale up to the level of usage that our partners and us internally are using. 
Michael Ryskin: So would it be fair to say that the -- again, you saw about 40% software growth in 2020. A lot of that was, as you noted, was a move up in terms of ACV from medium to large to very large. You're not anticipating that those were one-time moves and some of those people may scale back down or may take a pause. Is that fair to say?
Ramy Farid: Absolutely. 
Michael Ryskin: Okay. And then follow-up question, if I can squeeze a second one in. On the balance sheet and sort of the strength you have there and how that's going into the business, obviously, very, very strong balance sheet. How should we think about that being deployed across the business? And you've got more than enough to support your cash flow and your cash needs as it is now. So accelerating spend to support the clinical trial, cash will be phased out through the rest of this year and next year as those three lead compounds move forward, or is it sort of the back end of the portfolio, reinvest in the software business. Could you comment on that?
Ramy Farid: Absolutely. That's what we're obviously most excited about is the progress of the internal programs, the three that Karen talked about. And I think that should be viewed, of course, as a very positive thing that these programs have progressed to the point that they have -- that we've been able to build internally the organization that's required to be able to go into IND-enabling studies and then into the clinic, and that there's so much excitement about the mechanisms. So that's definitely one of the very important -- part of our strategy is to take these programs further into the clinic to significant value inflection points. We are also -- as you know, we have a really differentiated platform and a significant lead over anybody else in this space. And in order to maintain that lead, it is important to continue to very aggressively invest in that platform, maintain that lead and also to continue to advance the technology. We're seeing the impact it's having at our customer sites, at our own internal programs, at our collaborative programs. And we've demonstrated that that investment in the science and getting the science right has a really profound impact on the way programs progress. So we'll continue to lead in this space and to advance not only the accuracy, the methods, but the domain of applicability, which allows us to work on even more targets than what's possible today.
Michael Ryskin: Okay. Thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of David Lebowitz with Morgan Stanley. Your line is not open.
David Lebowitz: Hello. Thank you for taking my question. Given the ACVs at 92, does it suggest that the ability to actually gain new customers is somewhat limited at this point, or I guess what type of customers this point are you actually trying to add?
Ramy Farid: Yes. So it depends on what area of the business we're talking about. So on the life science side, as you know, the main source of growth there, as Joel talked about, and as we've talked about before, is to increase usage. We see huge opportunity there, because as Joel said, the level of usage of the software is much, much lower, even at our largest customers than it is than what we're using internally and what we're using with our partners. On the material science side, there a lot of the growth is coming from new customers and new verticals that we're getting into. So hopefully that answers your question.
David Lebowitz: And I guess if we look across the client base, I know that you definitely have had a lot more customers added to the 1 million users, ACV users and more added to the 100,000 ACV users. 
Ramy Farid: That’s right. 
David Lebowitz: With that in mind, are there a proportion of users in the 1 million that are disproportionate and actually affecting the lion's share of the revenue among all the users? So while there might be 16 in the 1 million plus users, are there a smaller proportion that are disproportionately affecting the entire revenue base?
Joel Lebowitz: I can answer that, Ramy, if you like.
Ramy Farid: Yes. Thanks, Joel.
Joel Lebowitz: So I think in our K, you can see the top 10 accounted for 34% of our revenue, our top 10 customers. It's up from I believe 29% the year before. So it is up, but it's – and that's an important element of our growth strategy. Obviously, as I mentioned, our large customers getting much larger remains to be a big opportunity for us going forward, as Ramy just discussed, and there's plenty of runway left for growth there we believe. But really we saw growth across -- really broad-based growth across the business. Importantly, we also saw -- it was driven by uptake and our core solutions, like FEP+ across the business, our enterprise solutions, LiveDesign that connects the entire discovery workflow, and really supporting very solid growth in both life science and material science. And that led to the broad acceleration in ACV in 2020 and it's why we are very excited about the multi-year opportunity that we believe we have to both increase contract size across the business, as well as increase the number of customers as we continue, particularly to advance the material science business.
David Lebowitz: Thank you for taking my questions.
Joel Lebowitz: You bet.
Operator: Thank you. Our last question comes from the line of Robert Brooks with Brick by Brick Capital [ph]. Your line is now open.
Unidentified Analyst: Hi, guys. Thank you for taking my call. I just wanted to touch base a little more on the sales strategy of kind of rolling up those medium-sized customers to large-sized customers and I also wanted to clarify on the 99% retention rate. Is that just for the annual contracts of over 100,000? And is that including the contracts of 1 million and over? Thank you.
Ramy Farid: Yes. On the second part of your question, yes, it includes all customers over 100,000 including the ones over 1 million, which is, as Joel said, 79% of the revenue. And then you were asking the strategy for growing those customers over 100,000? Is that what you were asking?
Unidentified Analyst: Yes. And then also the strategy for bringing in new customers, because I see that your guidance in sales and marketing went down from 21 to 17 year-over-year 19 to 20. So I was kind of wondering what's that -- why is that dropping when you guys are trying to get in more customers in the door and grow those customers?
Ramy Farid: Right. So the strategy on the life science side is quite simple, and we've talked a lot about this. So we, of course, have quite a number of close to 25 programs or so that we're running where we're essentially using the software at scale, at the appropriate scale to see the impact that we're seeing in our programs, and Karen touched on that. And so we're -- that's the story on the pharma side is helping customers see that impact, but also deploying it. So this requires a pretty significant change in how drug discovery projects are run, shifting from trial and error and just making a lot of compounds to really deploying computation on a large scale. And that's the process there. That's something that is a scientist-to-scientist sort of conversation. And we have a lot of people in the company, including people in our drug discovery group that get involved in that process. On the material science side, where we're sort of a newer player in that space and the awareness isn't as high as it is on the pharma side, there it involves that sort of what is the potential role of computation in molecular design of materials. Now the challenge there is, unlike in drug discovery where essentially every pharma and biotech company is effectively doing the same thing and the vocabulary is the same, in materials it's a lot of different verticals. We have to talk to companies that are designing organic light emitting diodes, designing battery, electrolytes, designing polymers, electronics industry. It's a lot of different verticals, and we're building up that part of the organization to be able to get the word out about the impact that computation is having on design of all types of materials.
Joel Lebowitz: And Ramy, if I could add on the sales and marketing expense progression that you referenced. So 2020 was obviously an interesting year for a lot of reasons. One of the impacts of COVID obviously was a change in how we sell and market our programs, our software. And part of that result was a reduction in the software, the sales and marketing effort, in terms of expenses during the year on travel, conferences, things of that nature. The really exciting thing about the way we -- what we learned from that was obviously very – a very difficult situation for everybody. But what we did learn was that other ways for us to effectively communicate and stay in front of our customers and engage with even new customers. You saw the addition of new customers across the different segments, customer size segments. And the thing that going forward what we anticipate is a return to hopefully some semblance of normal at some point during the year where we can reengage with the customers in person, we can be in person at conferences, and we are planning for those reinvestments, if you will, at some point during the year, but we'll also retain what we've learned about efficiently reaching out this year, which was very effective, but I think you need a combination of those. So we do plan to be investing in sales and marketing and also scientific and technical support that Ramy alluded to that are necessary to really pull through and support these large scale deployment, larger and larger scale deployments that are so critical.
Unidentified Analyst: Thank you, guys, on answering it really well.
Ramy Farid: Great.
Operator: Thank you. There are no further questions. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.